Operator: Thank you for standing by, and Welcome to the Sandfire Resources' March 2024 Quarterly Report Call. All participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. Brendan Harris, Chief Executive Officer and Managing Director. Please go ahead.
Brendan Harris: Hello and good morning. I'd like to acknowledge the traditional custodians of the land on which we stand, the Whadjuk people of the Noongar Nation, as well as the First Nations peoples of the lands on which Sandfire conducts its business. We pay our respects to their elders and leaders, past, present and emerging. My name is Brendan Harris, CEO of Sandfire. I'd like to welcome you to our quarterly call. I'm joined here in Perth by our colleagues, Megan Jansen, Jason Grace, Richard Holmes, Catherine Bozanich, Victoria Twiss, and Scott Browne. Starting with safety, we've seen our total recordable injury frequency increase in the quarter to 1.9 and a rise in high potential incidents. All of which emphasizes the work we have to do to protect the health and well-being of our people. Nothing is more important and we can always do better. Sustainability must permeate everything we do, from the way we ensure our people are safe to the work we do with our local communities to create lasting, positive outcomes. In March, we held our first committee meetings with the Yugunga-Nya under our new framework agreement. The meetings were held on country in Meekatharra, where I was joined by Cath, our CSO. This was another important step toward rebuilding our relationship with the Yugunga-Nya and ensuring the ongoing protection of cultural heritage at DeGrussa. We're taking a long term view and will stay the course and do what's right. I also understand that the external investigation commissioned by Sandfire to better understand the process failures that led to the disturbance of the artifact scatters and taking time before we notify the Yugunga-Nya, will be completed shortly. The findings of this investigation will be made available to the Yugunga-Nya before being shared with government, industry, and other stakeholders. Turning to our operating performance. Importantly, we have retained FY '24 group copper equivalent production guidance for the 135,000 tonnes and we've tweaked broader financial guidance. We've flagged the combined $18 million reduction in underlying operating and exploration expenditure in FY '24 and a $23 million increase in non-cash D&A. Beyond the P&L, we've reduced group CapEx guidance by $18 million, which largely reflects a shift of expenditure at Motheo into FY '25 and some lumpy sustaining items at MATSA in Q4. To be clear, the budget for the rapid and low cost A4 expansion project remains unchanged at $397 million, and first ore is on track to be delivered to the centralized processing facility in the first quarter of FY '25. This leaves us well positioned to deliver more than 50% growth in copper equivalent production from our continuing operations across the two-years to the end of FY '25. For the quarter itself, we delivered copper equivalent production of 33.1 thousand tonnes, an increase of 2% from the prior quarter, as contained copper production increased by 11% and contained zinc production declined by 23%. This in turn underpins sales revenue of approximately $206 million and underlying operations EBITDA of approximately $93 million for underlying group EBITDA of approximately $76 million. Our net debt increased again, albeit temporarily, by $5 million to $481 million, as the Motheo concentrate shipment slipped to the back end of March and cash proceeds of $25 million were only received on the 2nd April. That's not to say Motheo isn't going well, as it arguably couldn't be doing better, having operated at an annualized 4.7 million tonne rate across Q3 and a 6 million tonne rate across the 20 days to the 26th April, or a 5.6 million tonne rate if our targeted 93% availability is taken into account. If sustained, this level of performance would significantly de-risk our forward plans for Motheo and potentially establish the foundation for incrementally stronger output with any excess capacity likely to be utilized to process low-grade stocks in the short to medium term. At MATSA, our underground mines also operated at a record 4.7 million tonne per annum rate across the quarter, further illustrating the increasing resilience of our mine plan. Recognizing we lost access to high grade polymetallic ore in the Aguas Tenidas Western extension as a result of a blockage in our post fill delivery infrastructure. We produced 14.2 thousand tonnes of contained copper at MATSA in Q3, a 4% improvement quarter on quarter and 18.5 thousand tonnes of contained zinc for copper equivalent production of 21.4 thousand tonnes. The 23% reduction in contained zinc production is directly linked to our inability to access the western extension and our decision to refocus activity on the Aguas Tenidas Stockwork zone, a copper only area within the ore body. With our paste fuel-line into the western extension now reestablished, we expect to recover the circa 4,000 tonne shortfall and zinc production in Q4. Moving on from production, our underlying operating costs at MATSA have remained relatively stable at $72 per tonne of ore processed, as the operation continued to mitigate the effects of inflation and further benefited from positive foreign exchange rate movements and lower power prices. Persistently good performance on this front has seen FY '24 guidance for MATSA's underlying mine operating costs lowered by around 5% to $74 per tonne of ore processed. At a strategic level, we are continuing to refine our multi-year exploration plan that's designed to materially increase our reserves and we're not standing still. We're currently drill testing our highest priority target zone, which lies around 350 meters down plunge of the Masa 2 orebody at Magdalena, where prior EM surveys identified prospective conductors. With that, let's quickly turn back to our growth engine, Motheo. Motheo's underlying operating costs declined to $36 per tonne of ore processed as we ramped up processing activities and underlying operating cost guidance for Motheo remains unchanged at $169 million in FY '24, a great outcome for a new mine. Our exploration team has also completed another drilling program at A4 to test for dip and strike extensions to known mineralization and final assays are awaited. Exploration drilling has also recommenced at T3 and is testing for additional mineralization in the footwall zone of the open pit. And finally, at A1, we have confirmed a maiden 5.6 million tonne resource located 20 kilometers to the northeast of our processing facility. We see real potential for this to grow as we increase drill hole density and test the open extent of the orebody. As I've said in the past, there is so much to learn about the Kalahari copper belt and we've only just scratched the surface. On to the United States, where we recently welcomed the Montana Supreme Court's decision to reinstate the Mine Operating Permit for the Black Butte copper project. Our current drilling program is designed to test the extent of the high-grade Johnny Lee lower copper zone as we seek to enhance the project's economics ahead of a final investment decision. So, in conclusion, while nothing is ever perfect, we're going pretty well. The medium and long-term fundamentals for copper keep getting better and we're well positioned to deliver growth into an increasingly tight market and pay down debt. Let's go to questions. Thank you.
Operator: [Operator Instructions] The first question comes from Ben Lyons from Jarden. Please go ahead.
Ben Lyons: Thank you. Good morning, Brendan and everyone on the call. Might start at Motheo, please. Obviously acknowledging the very strong performance of the processing plant as it ramps up to that 5.2 million tonnes of capacity - possibly presenting some challenges for the mining sequence, though, if the plant's running so well. So my question really relates to the performance of the pre-strip at A4 and specifically that $18 million deferral as CapEx into the fiscal '25. Yes, whether this conceptually puts you a little bit behind plan, particularly if the processing plant continues to run at such elevator levels? Thanks.
Brendan Harris: Look, Ben, that's an excellent question and thank you. And I'll pass to Jason at the moment, just maybe a couple of overriding remarks. Whilst we have deferred some of that spend, and so of course that does mean that elements are tracking later into the early part of next year. It's not a material difference. It's really - it is just a short-term timing differential. But before I pass to Jason, I do want to pick up on the point you've made. If you like, pull the thread, you'll notice in some of the comments in the quarterly we've been really clear to highlight that if we are able to maintain these high rates of throughput, and please hold us to account on 5.2 for now. But if we can continue to deliver at the recent higher rates, we've really stressed that one shouldn't assume a linear progression in terms of throughput at constant grade to give a linear increase in contained metal production. Because over the next one to two-years, as has always been envisaged, if we run at a higher-rate, arguably we'll be drawing down on low-grade stocks, over the medium term, and you're probably talking out into the '26, '27 time horizon, if we can run at higher-rates, the mine plan will evolve, we'll have more flexibility to bring more of the call it, the run-of-mine-grade material in which, of course would give a more meaningful benefit. So that's a really good story, but it does highlight that we don't want, and we've said this before, people, to get ahead of themselves in the short to medium term. But Jason, maybe just for you to color some of that in.
Jason Grace: Yes, I think Brendan's covered it very well, Ben. And if you look at it, we have been looking at the mill performance since commissioning of the 3.2 million tonne per annum plant. And as Brendan said, we are laser focused on making sure that we can achieve 5.2 million tonne per annum rate on a sustainable basis. However, we have seen that there is a potential for upside and we've made sure, particularly in developing and optimizing the mine plan post feasibility study, that we've got a mine plan that is enabled to be able to support a higher processing rate. And Brendan touched on that in the early years. That will be through drawing down low-grade stockpiles. And as we progress, particularly through the mine plan at T3 and become more ore bound and also start to get into the main part of the A4 ore body, we'll actually start to see the full benefit of potential increase in processing rates, sort of coming in post those early years to give us the full benefit and be able to process higher average grades over that.
Brendan Harris: So I think for me, Ben, that's probably coming into the role over a year or so ago. That's what really pleased me the most, was to see the thinking that had been put to bear, not only to establish a pathway to a rapid and low-cost expansion to 5.2, the fact that there were clear areas over scope that would potentially provide more capacity in due course, but also the work that's been done around the mine plan to really think about the way in which we can set ourselves up for success should we be successful in, if you like, unleashing additional capacity. And so I think that's really where we're at, but hopefully that gives you a good feel for it, but as I said, a really good question.
Ben Lyons: Yes. Thanks Brendan. Thanks, Jason. Maybe just a second one on MATSA, please. And again, I have to acknowledge the very strong mining performance and have to acknowledge the really granular level of guidance that you provide as an organization, which is really helpful from our perspective. And obviously you've had some operating challenges at MATSA during the quarter with the baseline, et cetera. So it feels a little disingenuous to pick out a specific number of your guidance stack. But in the context of all of that, and the fact that it looks like you've actually put a bit of material on the RoM in front of the plant during the last quarter, one area where you don't appear on track to meet your fiscal '24 objectives is the increasing copper recoveries from the poly line. And I think there was a specific 3% target that was called out of recoveries during the quarter were only 69% below guidance of 73%. So with the benefit of a bit more material in front of the plant, are you still aspiring to that kind of 73% recovery level? Can you see some potential improvements as we go into fiscal '25? Thank you.
Brendan Harris: Yes. Look, again, I'll throw to Jason, but - I often say if mining was easy, everyone would do it. And I guess the frustrating thing is we know with MATSA, we've been to some extent working really hard to build the credibility of the underground. Given, some perceptions out there that it's geotechnically more challenging than other mines, which we don't believe is necessarily the case. It's fairly classic multi-mine underground polymetallic open state paste fill operation. It has its challenges. The irony here is we're running, as you said, at record rates of throughput. And we've had an issue with our paste fill line. So very, very frustrating. As we've highlighted, we're going to capture - recapture that zinc metal production in the fourth quarter. The team is running really hard to do everything they can to hit that number. But you're right, and we've also made this point very clearly in the quarterly. We make no bones about the fact that value is in recovery. It's - I sort of think about it to some extent, it's free money and we haven't hit the targets. And largely it's related to the fact that we haven't had the stability in our plan and our blends because of some of this resequencing. But maybe I'll throw to Jason to dig into that. But it's a real focus, Ben, and we're not giving up on it in any respect.
Jason Grace: Yes, look, once again, very good question. Look, you do know if we look at copper recoveries there, particularly with copper only sitting at about 83% for the quarter, down from 85% in Q1 and Q2. I'm comfortable that we're definitely moving in the right direction, heading towards that guidance of 86%. I'm sure you understand when you do a complete about-face on a mine plan, very quickly, it throws a lot of the operating strategies and particularly throws the balance out in the mill and certainly the team we're dealing with that through the bulk of Q3 and particularly early in Q3. Copper poly. All right. We were focusing on, given that we have reduced our overall processing rate, we were trying to make sure that we were maintaining zinc recoveries and some of the ore that we were mining there was probably not the quality that we're expecting to see during that period of time. I expect we'll start to see those copper poly recoveries start to trend back up, but I still think we've got a way to go before we're consistently achieving guidance around 73%.
Brendan Harris: I think Jason, it's fair to say, talking to Rob Scargill last night in Spain, we are seeing that higher grade zinc material coming into the ROM pad and into the processing facility on a daily basis now.
Jason Grace: Great. Absolutely. We've seen that since really mid-month, mid to early month.
Brendan Harris: Yes, once we reestablished the paste fill line and got back in there.
Jason Grace: Correct.
Brendan Harris: Anything else, Ben?
Ben Lyons: No, I've had my time, mate, so I'll pass it on. Thanks very much, Brendan.
Brendan Harris: All right. Thanks. Cheers.
Operator: Thank you. Your next question comes from Kaan Peker from RBC. Please go ahead.
Kaan Peker: Hi, Brendan and team. Two questions for me, both on Motheo. Just congrats on the maiden resource at A1, its good grade, shallow, trackable distance. So how are you thinking about how A1 fits into the current approach at Motheo? And I assume there's some met test work that's been done with regards to recovery and how it fits in with the plant, existing plant. I'll circle back with a second.
Brendan Harris: Yes, thanks, Kaan. Appreciate the question and I'll pass to Richard in a second, but perhaps a couple of comments I'd make is this is a maiden inferred resource. If I talk to A4, the initial or maiden resource at A4 was 6.5 million tonnes at 1.5% copper, ultimately grew to 9.8 million tonnes at 1.4%. And we're continuing to test open extents of that deposit itself. So we certainly don't have any certainty of the directional trend of the resource at A1, but we're left optimistic that there's still more for us to do there. And I think that's really important because there is obviously a distance between the processing facility and A1 and that deposit needs to carry that infrastructure investment. Obviously, there are other targets you can see in our presentation that are in and around that area and so the more infrastructure, i.e. particularly hallways that we established start to provide more pathways to ultimately, if you like, commercialize any future discoveries as well. I think the key thing, though, if you look at the size of this ore body and you think about the grade, it's very early days, but it would be logical that you want to bleed it in to the operation over time, because that's going to be the economic way to do it. And so it's not large scale, unless, of course, the resource grows. But maybe firstly, Richard, anything on the resource that you wanted to add and then maybe, Jason, in terms of the operating approach.
Richard Holmes: Yes, just your questions on MATSA testing we've done. We've done some basic testing there, and it looks like the performance looks very similar to T3. And obviously, we've tested it with the intent of replicating the T3 process sheet. So all looks very good. I suppose, where we sit in the development timeline, we've got a fair amount of work to do at A1 yet. We'll run a concept study shortly and then I think we'll see some significant drill programs. And as Brendan says, we hope to increase the size of the resource, it's open down dip and a long strike and there's still quite a lot of work to do to understand the fold, the fold closures, which often produce higher grades. So a fair way to go. Lots of exciting work to come.
Brendan Harris: And Jason, maybe just on the configuration.
Jason Grace: It's very early days. It is early days. And given our current understanding, I see A1 is as analogous to A4 in terms of how it looks operationally. So if we look at A4, A4 on its own would be unable to fill that mill at a 5.2 million tonne per annum processing rate. So, conceptually and Richard touched on the studies, conceptually, we're already thinking about the optimum timing there, which would be to bring this online. Right. Certainly before the end of mine life at T3 and A4 and to be able to use the blend from the three, and particularly use that baseload of ore supply from T3 to underpin A1 and A4.
Brendan Harris: And I think it's the combination of the resource work that's ongoing, but also the clarification and confirmation of the ability to run the processing facility at faster rate. We touched on it earlier that clearly that provides some upside in the future to metal production. But the critical thing I think a lot about is risk. To me, what it does is it significantly de-risks our forward base plan, because, in effect, you've got higher capacity to run your run of mine grade material through the mill, which again, in mining, because we all know that we tend to have interruptions from time to time or unforeseen events. This just starts to - the combination of these things just increasingly de-risks, how we think about the forward plan, how we think about the value of Motheo. Kaan, next question?
Kaan Peker: Sure. Thanks. And I suppose that's a great lead in, but Motheo beyond 5.2, I know it's early days mentioned it, but over the medium term, if we sort of get to that 5.6 million tonnes per annum, is there likely to be a trade off on expected recoveries, excluding the impact of feed rate?
Brendan Harris: Look, in short, we're obviously - the biggest issue on recovery has actually been the instability that we've had as we've been commissioning the ball mill, working through the misalignment issue that we've now resolved. That's really what impacts your recovery. In the last 20 days, not only have we seen the throughput increase, we're seeing recoveries back over 90%. So we don't think there's a trade off in terms of ultimate recovery. We're still really not even testing the full potential of the plant. So that's where once we get steady state, the team really gets down to the hard nitty gritty of incremental improvement around those recoveries.
Kaan Peker: Very clear. Thank you very much. Pass it on.
Operator: Thank you. Your next question comes from Rahul Anand from Morgan Stanley. Please go ahead.
Rahul Anand: Hi, team. Thanks for the call. I think we've touched a bit upon the operational side. I wanted to perhaps ask a financial one. You've revised the D&A budgets for both Motheo and MATSA. I guess my first question relates to that. What's driving that? Is that a movement in the asset value or is that you're drawing more ore quicker and that's basically driving that? But then, more importantly for MATSA, am I correct in understanding that the depreciable base from a tax purpose remains unchanged at the asset, despite this accounting change that you've indicated?
Brendan Harris: Yes, thanks. Good question, Rahul. So a couple of points. I'll pass to Megan. You've seen MATSA is running at a record 4.7 million tonne per annum rate. The differential's incremental and D&A has a direct link to units of production. And of course, Motheo is running marginally ahead of plan, but there's more work with Motheo. So maybe Megan, pass to you to just explore that.
Megan Jansen: Yes. Thanks, Brendan. And thanks for the question, Rahul. Maybe to start with Motheo, and really that represents the majority of that $23 million increase in the non-cash D&A expense. Two-fold in terms of contributing factors there. Part of it is having finalized that very detailed fixed asset register for the Motheo asset following achieving commercial production at the start of the financial year. The team's been through that very detailed review, including audit of that register and with that and that all now being systematized comes a more sort of specific understanding on what that charge for the year is expected to look like. So that's the first component. The second component at Motheo, as Brendan touched on, is really a significant part of that D&A charge is linked to our units of production. So as our ore mine tonnes increase, for component of the D&A charge, that will align with that. So higher throughput, we'll see a slight and sort of aligned increase in the D&A charge. So that's on the Motheo side. The majority of the increase in MATSA, and again, quite modest to MATSA, is really related to higher throughput and the higher rates that we're seeing coming out of the mine with a significant component of MATSA's depreciation charge also linked to that units of production basis. For your question on the MATSA tax base, you're correct. No change to the tax base. This is all non-cash accounting changes at this time. From a tax perspective, as we work closer to the end of the year, we'll try and pull the deferred tax accounting and look at our elections, the MATSA. There's some specific nuances in Spanish taxes around the way we claim that tax depreciation base and certain elections that we need to make. And that's something we'll look to refine by the time we get to the end of the financial year.
Rahul Anand: Got it. So I guess re MATSA, just a quick follow up. If your accounting depreciation is accelerating on account of units of production, fair to assume that the Spanish side, you're still using the cost base of the original asset, right? You're not able to - and is the rate of depreciation off that cost base mandated by the government or is that mandated by units of production as well?
Megan Jansen: So there's no change that - we're not talking about a change to the actual tax base at this stage. The statutory rate in Spain, there's no change to that. What we need to work through is some elections we have around. It's called depreciation at will. It does get quite technical and probably not something to sort of bog down on too much in this call, but we have some flex in the extent of our deduction that we need to review each year, and that's a process the team will look to finalize before the end of the financial year, Rahul.
Rahul Anand: Okay, perfect. Yes. That's very comprehensive. Look, my second one is on Black Butte. Obviously some interesting hits there and potentially could develop into a platform, I guess, moving forward. But my question is more related to, I guess, funding it and the balance sheet. So is it fair to say that if the project is available and ready to go, let's say in FY '25 sometime, you probably still wait until FY '26 to have an FID on this one, or do you think a partnership or somewhat of an equity raise might be an option if the economics look compelling for this one?
Brendan Harris: Look, I think it's too early to be specific on all of those things, but I just make the general observation that we're about to hit our sweet spot. Motheo is ramped up. We need to ensure it's running well. We're coming into what we hope will be a strong 4Q. We think we've established the consistency and predictability in general at MATSA and the way the underground is operating. We're going ex-major capital at Motheo. And Megan said net debt should peak, we think, as I think someone mentioned on the call, we would agree that net debt peaks at this level. In fact, we should see a meaningful reduction coming into the fourth quarter. You put all that together, the timeframe that we think we've got to complete the drilling work on the lower zone, the high grade zone at Johnny Lee, integrate with Lowry, update capital cost estimates. You're probably talking around 24-months. I think, before we're probably really getting towards any sort of formal decision. I think our balance sheet will look very different at that stage. And this project, for us to invest, we need to see very attractive rates of return. And on that basis, I think it would also certainly be able to carry, if we choose to project finance. So I think if you put those things together, I think we're very well positioned to move forward with Black Butte, if it makes sense for shareholders to do so in the timeframes that I would envisage a decision being taken. But we don't need to make that decision today. What I am convinced about is every dollar that we're spending at the moment is de-risking that investment and making it more valuable.
Rahul Anand: Understood. Okay, that's perfect. That's all from me. Thank you very much.
Brendan Harris: Thank you.
Operator: Thank you. Your next question comes from Mitch Ryan from Jefferies. Please go ahead.
Mitch Ryan: Thanks, Brendan and the team. Brendan, you just outlined sort of, I guess, the position of the company, of both assets going to really hit their struts. You're delivering consistently. You've got a good reputation. Your equity prices are at almost all time high, if not at an all-time high. And so what you said it, what's next. You're seeing it on a grander scale M&A starting to play out for copper units. Is that something that's on the radar, how are you and the board having those discussions and thinking about the opportunities that exist out there?
Brendan Harris: Look, Mitch, as an old pretty average cricketer, I'm a big believer you're only as good as your next inning. So I don't get too carried away with things. The reality is we've got a lot of work to do to continue to just eke out the commitments that we've made. It's about being better every day, continual improvement. We still have a lot of value to extract. I talked to you about the strategic work we're doing around reserves and resources. We've talked about the opportunity at depth at Masa 2. We've touched on A1, but there's a broader land package. I could say that the board and the executive team were in Botswana circa three weeks ago, looking through all of the opportunities that we see, and there's plenty to keep us busy there and continue to extract value. And we just touched on Black Butte, so I still feel like we have a lot of opportunity embedded within the business to grow value. And I think we happen to be in a commodity which will continue to present tailwinds for us. So that's how I think about it, Mitch. They're the conversations we're having with the board. So there's probably not much more to add at this stage.
Mitch Ryan: Okay, thank you. To move from sort of the macro down to the micro. With regards the Motheo and A4 expansion, I know you've reiterated sort of first ore at 1Q '25, but with that slight delay to the pre-stripping, just wondering if you could provide a bit more color around the ramp-up profile and the risks to achieving it?
Brendan Harris: Yes, thanks, Mitch. Look, I'll throw to Jason quickly, but in short, we will deliver first ore at A4 as planned. It's a sequencing issue around the stripping and we see as we've committed to no change actually to the targets we've given for our copper equivalent production into next year and the delivery of 15% growth over those two-years to the end of FY '25 from continuing operations and Motheo is at the heart of that. So we actually don't see any change in terms of the net outcomes. It's a quirk, if you like, of the design of the mine plan, but maybe Jason.
Jason Grace: Yes, Mitch, Brendan's absolutely right. As I'm sure you understand, we continually optimize our mine plans and we do go through a full annual review of our life of mine plans there, even looking at designs. We've recently updated staging designs on both open pits and we're very comfortable that we will deliver first ore as expected at A4. And as we touched on there before, we have a robust mine plan that will deliver the requirements at a 5.2 million tonne per annum array and enable sort of the plant to go higher when and if we achieve that on a sustainable basis. So from my point of view, I think we're looking very good for achieving all of those outcomes and I see little risk at this point in time.
Mitch Ryan: Sorry. Yes, thank you. I appreciate the color. It was more around post that first ore, so, yes, you achieved first ore, but then what is the ramp up profile beyond that look like?
Jason Grace: Yes. If you look at it, that ore supply will be sporadic, over the first, probably five quarters after we get into that first ore. After that, we get ore on a sustainable basis. And that's simply around, if you like, we're taking stage one of that A4 pit down onto the top of the ore body. Once we get into the main part of the ore body there, we actually continue to go down on stage one and then do waste stripping on stage two, very similar to what we've done on T3. And that gives us that sustainable ore supply.
Brendan Harris: And I think, Mitch, we're running a site tour there later this month. And in the past we provided some sort of generic directional multi-year trends for volumes. I wouldn't expect you're going to see anything materially different. If anything, as I alluded to, is if we can get comfort in the likely throughput rates that we can achieve, whilst it wouldn't be our base case today, it's more in the two to three plus year time horizon, you start seeing higher metal production than previously anticipated. Because your mine plan actually facilitates, if you like, higher throughput of ROM grade, if you like, material being processed rather than low grade stocks.
Mitch Ryan: Thank you very much for answering my questions. That's it for me.
Brendan Harris: Thanks, Mitch.
Operator: Thank you. Your next question comes from Daniel Morgan from Barrenjoey. Please go ahead.
Daniel Morgan: Hi, Brendan and team. Firstly, just at MATSA, maybe Slide 20, where you're talking about the goal to increase your reserves. Can you just remind us of the activities, work streams that are underway and when you plan to release results or update the market on this? Thank you.
Brendan Harris: Yes, perfect. Look, I'll post straight to Richard and I'll come back in on the back end.
Richard Holmes: The work at the moment is focusing around drilling the geophysical plates that we identified down decrease of Masa 2, so we've completed one hole and we're waiting for results on that and we've just started the second hole. So that should play out in the next probably one to two months where we'll come back and update the market. And then back to Brendan to give the sort of the higher level overview.
Brendan Harris: Yes, I think that's the big one, Dan, is that up dip, that's the big volume opportunity for us down dip from Masa 2 to around 350 meters down plunge. What we're really wanting to prove, following up on the original hole and the geophysics that was undertaken is we want to prove that the host rocks continue and we want to prove that there's fluids in the system so that we either encounter or we see the trace elements that would suggest that there's prospectivity for mineralization to commence. So that's the game changer for us. So we're hoping that we'll be able to provide some more clarity around that in the very near term. And then, of course, as we drill more holes into that, we'll continue to keep the market updated. Reality is that's going to take time because you're drilling 1,200 meters down hole with diamond and the geometry means that it's never going to be simple, but we're really, really excited about the potential that we see there. Beyond that, it's continuing to work and understand the strike extension of San Pedro. It's a similar volumetric opportunity to the down dip extension of Masa 2 and then obviously, filling in the gaps around Olivo. There are other Olivo type opportunities that the team is identifying, I can tell you as we speak, but it's too early to talk about them. We want to fill the gaps in there and see as to whether where there's smoke, there's fire. Then there's the broader piece around MATSA, which is some of these near mine opportunities that sit within private hands. We continue to engage and see where that goes. We don't have any immediate motivation, but we do believe that we are the natural home, if you like, as a processing route for some of those resources. And then ultimately, if you put all that together, it's then that concept study around Sotiel. In a world where you're filling the pipes at the centralized processing facility with simply Magdalena and Aguas Tenidas ore. That is that work that Ian Kerr's going to move onto once the permanent filter press is up and running, fully commissioned at Motheo, and he's obviously got an incredible track record. If you look recently, obviously, with the work he's done at Motheo. He's not only going to be working - moving on to the concept study for Sotiel, but he is also going to be moving on to the work around Black Butte, which we're really pleased about. So again, he's been freed up at a pretty pivotal time. Does that give you a good feel for it, Dan?
Daniel Morgan: Yes, thank you. Maybe switching over to Motheo in a similar vein. So page 17. If you look at it, there's a lot of stars marking prospects. What makes these prospects and what is the work streams underway to test them? Thank you.
Brendan Harris: Look, I'm going to be a little less transparent here and I'll pass to Richard, but I think a lot of people are starting to wake up to the potential of the Kalahari copper belt. We've recently flown a whole base in wide AGG survey using technology that comes out of the U.S. military. We're building a customized understanding of the setting, more broadly, the geological setting of the entirety of the Kalahari copper belt, which is helping us better understand every day the genesis of these ore bodies. And really what you're seeing there is just an artifact of areas where we think that the prospectivity based on that model is encouraging and we are doing more and more work every day, but I don't really want to go into the broader thinking around it because I do believe it's commercial and confidence, but, Richard, I don't know if there's anything you want to add to that?
Richard Holmes: Yes. So just building on what Brendan said there, we've now got three deposits: A4, T3, and A1. We've got a much better understanding of the controls and mineralization. So the more we mine, the more we learn. And we're beginning to apply that through to our three dimensional modeling. We touched on the AGG. That's the first time that a large scale survey has been done like that in Botswana. We covered the whole of the Kalahari copper belt and collaborated with some of our neighbors. So building this big 3D model means that we've got a much better handle and much tighter control in our targeting. And now we can start to play that out and start releasing diagrams like this that just shows you we've got a real pipeline of opportunities to start testing over the next six to 12 months, that all can help, that all can feed into that T3 central processing plant.
Brendan Harris: Yes. And I think, Richard, it's fair to say that what you see there, Dan, on net-net, those names will change. I guarantee that they're going to change as we work through this process. Because, frankly, whilst we're really pleased to have announced the A1 maiden resource, the reality is we're looking for the next 50 million tonnes resource that sits within proximity to Motheo or even more distal, that could even support an additional processing hub. We still believe there's an enormous amount of prospectivity, but there's years of work ahead of us to, if you like, unlock the secrets of the Kalahari.
Daniel Morgan: Thank you for your perspectives.
Operator: Thank you. Your next question comes from Alex Papaioanou from Citi. Please go ahead.
Alex Papaioanou: Hi, Brendan and team. Tiven copper is now hovering around 100,000 a tonne, how does this make you think or do anything differently around mine sequencing, particularly at MATSA?
Brendan Harris: Look, good question. I think Jason sort of touched on it. But the most important thing for us in this multi-mine complex is actually consistency and predictability. Price will come and go. History says to me, start making plans on price and the very next day you're probably having to rerun your plans and often when you're chasing price through high grading or low grading mines, you end up chasing your tail. So my core philosophy is, have a plan. Don't be myopic about it. Don't be blinkered, but be very, very hesitant to move away from what you think is the value maximizing strategy on the basis of short-run movements in price. Jason?
Jason Grace: No, I think you've captured it well. I think if we look, in my mind, the only real opportunity there is looking long term, if we believe this is going to continue. It really starts to open up the potential for Sotiel and what we can potentially do there.
Brendan Harris: Which we have a program of work underway in its infancy and honesty because Ian's truthfully been wedded to Motheo a little longer than we would have liked because we're resolving this issue with the concentrate filters. But again, we're getting close to, I guess, getting past that challenge and he'll get underway on that work. But, Yes, look, great question. Easy in hindsight, there'll always be a right answer - sorry, in hindsight, just history said to me, stick to your plan.
Alex Papaioanou: Yes. And then onto hedging. As you know, zinc can be pretty volatile, with zinc close to 3,000 a tonne here. Would you look to add more zinc hedges?
Brendan Harris: Look, I've again, a lot of people on the call probably know me for a long time. I think our shareholders' onus for exposure to the underlying commodity. We have some hedges in place tied to our financing facilities. They will roll off over time. Our main objective is to generate revenue, generate cash flow, pay down debt. We will manage price volatility through having a strong balance sheet. Again, I remember the years when commodities like copper were 1 dollar 1 a pound and when they went to $1.50, everyone thought they were amazing prices. And the risk is that you hedge at the wrong time. Again, I think we want to be a good mining company. I think others can play in the forwards. I think the best thing we can do is again give our shareholders exposure to the underlying commodity to the maximum extent that we can and then run the business well. But Megan, I don't know if there's anything on hedging specifically that you wanted to touch on, given we're on the topic?
Megan Jansen: Thanks, Brendan. And I think you've covered it pretty comprehensively. We've got the longer term hedges connected to our MATSA debt facility and you'll see the table included in the quarterly consistent with other periods. It gives you a good indication to the proportion we have hedged going into FY '25. In addition to those longer term hedges, we undertake QP hedging for sales that have occurred so as to really mitigate volatility to our income statement and manage our working capital. But as Brendan touched on longer term, we're not looking to change our strategy and enter into any further long-term hedges.
Alex Papaioanou: Great. Thank you. I'll pass it on.
Brendan Harris: Thank you.
Operator: Thank you. Your next question comes from David Radclyffe from Global Mining Research. Please go ahead.
David Radclyffe: Hi, good morning, Brendan and team. So just a bit of a follow-up to the MATSA Reserve update process and sort of putting a bit of a twist on that question. I mean, we're now sort of over two years into the acquisition, so you're actually happy with the pace of unlocking that near-term mine and regional resource potential at MATSA? And I guess it goes to the point that you've got some interesting hit, but I presume it's still too early for any of those to come into the actual mine plan and actually outline that new sort of mine contributor that we've all sort of been looking for.
Brendan Harris: Yes, look, David, thanks for that. I'm never happy because you'd always want it to be quicker. The reality is, my view is this is one of the biggest value levers, if not the biggest, that we have. So by definition, the quicker we can bring that into the equation, the more value we realize for our shareholders. So the team here probably would tell you, I pushed pretty hard on this area. But the reality is that the job to this stage, I think, in the 18 months, 24 months of ownership, it has been quite remarkable. To discover San Pedro and have real confidence in that and be in a position to test its lateral extent. Olivo. The work I'm starting to see on Masa 2. Whilst Masa 2 is, no question, a ways away, and it's always going to be because of where it is. San Pedro and Olivo. I think we actually say in our quarterly that we're currently updating our resource and reserve statements for MATSA, and we would expect to see those bleeding over the course of the coming months, into this year and into next. So these things are going to have an impact relatively quickly. The question for us is, how do we keep that momentum up and keep building, if you like, our endowment. We said once before, I think we have, between Masa 2 dips and the San Pedro extension, we have all of the volumetric opportunity we need to achieve that target of 15 years in front of the mine - the face in the next three to five years. I want us to build confidence or otherwise, as quickly as possible, because we need to also make sure we've got other options. I'd rather know if we're not going to achieve those sorts of outcomes on the basis of what we see rather than the other way around, because again, there's so many things and so many opportunities for us to follow up and chase in that broader master district. But as we see it today, they're the best opportunities and they really do have quite incredible prospectivity.
David Radclyffe: Okay, great, thanks. I'll pass it on.
Brendan Harris: Thank you.
Operator: Thank you. Your next question comes from Paul Young from Goldman Sachs. Please go ahead.
Paul Young: Good day, Brendan. I hope you're well. Brendan, just a question on the Motheo mill, really rare to see projects start up like this in periods of time, a mill run 10%, even 20% above nameplate for weeks on end or extended period. So just curious around that performance, is that driven by different ore characteristics that you anticipate, or is it purely just conservative design or over design?
Brendan Harris: I'll pass to Jason in a moment, but I guess, look, a couple of things from my perspective up front. Geology, you can never beat the geology. If you get a chance to get across to Motheo, you'll see that the run of our ore mined material is very coarse in terms of the sulfides when you walk on the high grade pad, the medium grade pad, it's really coarse chalcopyrite, coarse bornite. It floats incredibly well. So, it's not an overly complex processing flow sheet. As I've said before, it's a completely flat topography. So you've got no compromise in the way that your conveyors and your mine, if you like, is configured. So as you know, often where you get bottlenecks, particularly in the early days or in your transfer points, it's about as simple as it can be. And of course, you know, there was a degree of conservatism in certain elements that was built into the plan. But I think appropriately so. I think the other thing, Paul, we did dodge a bullet to some extent, if I can put it that way. The concentrate filter presses in any other part of the world, I think, would have been an enormous problem for us. We would have had all the capacity to produce the concentrate, but actually not filter it. But being in Botswana and close to South Africa, quite novel that we're actually able to get hold of three mobile concentrate filter presses that we could effectively are on trucks and we basically have parked up and are relying upon until that new permanent solution gets in place. So it's not that we haven't had challenges. The way when we were over there with the board three weeks ago, management would describe it as, it probably looked like the duck on the pond from the outside, but I can tell you underneath that they've been paddling really damn hard. So there have been challenges, but I think it gets back to geology, it gets back to the simplicity of the flow sheet, it gets back to the topography, and gets back to just good execution and good people. But Jason, I don't know if there's anything else that you want to add on that?
Jason Grace: I think you've captured it. Coming back to the geology, from day one, we have seen basically our grinding so you could draw less power to do the same work. So we were confident there, from these very early stages of commissioning at the 3.2 level, that there was potential upside in this plant. Now, I agree also, the design criteria were appropriate. This was designed for success. And I think we're seeing the benefit of both of those factors come in.
Brendan Harris: But there was some really novel engineering work as well, Paul, that, we probably, over beer, can talk about. But it's not gold plated, it's built incredibly well, but it's not like everything's been over scoped. So, in other words, when you look at the capital efficiency of it, it's incredibly good for the throughput rate, yet it's giving us that excess capacity. So I think it's a range of factors. But, Yes, look, I think we feel fairly blessed at this stage, but we're not resting on our laurels.
Paul Young: Yes, great position to be in. I mean, it sounds like it's more around ore hardness and grind size, if I'm hearing that, but…
Brendan Harris: Yes. Ore hardness, grind size, coarse sulfide, floats really well. Really amenable to getting very attractive recoveries without, frankly, too much work.
Paul Young: Yes, that's great. And then just to clarify, Brendan, where some comments you made earlier around if the mill performs above nameplate at 5.2, that you'll be sort of bleeding in some low grade or off stockpiles. Is that the strategy? I know you've in the past also provided that chart showing that low grade stocks from T3 sort of peak in FY '26. If the mill performs strongly that we won't see that peak, you'll just continue to process low grade stocks or bleed it.
Brendan Harris: Look again, these things are all fluid for us because we're looking at life of asset plans at the moment. But your thinking is broadly right. And really, what I'm just wanting to make sure is that people realize that over a two- to three-year period, higher throughput can give you an important and meaningful contribution to metal in the near term. It de-risks the operation and, as you said, bleeds in low grade stocks and can give you an incremental improvement in overall metal. But again, not to get ahead of ourselves, of course, it will give us economies of scales on a cost perspective as well.
Paul Young: Yes, great. And then just finally, I mean, good color on treatment charges in the report, particularly around zinc, TCs, and noting that the benchmark price has come in for the current quarter well below last quarter. Just to confirm, Brendan, just on zinc and copper treatment charges, the zinc, you're going to be realizing a quarterly benchmark and then copper, you won't realize, low, I guess, market rates for TCs/RCs for copper until calendar year '25?
Brendan Harris: No, I'll pass to Megan if she wants to color it in. But if you think at MATSA, you get the annual benchmarks. But zinc only settled after the end of the quarter and so that's why it was provisionally priced for and when I say that calendar year, so that's why it was provisionally priced for that March quarter, Paul, at the prior benchmark. That's why you'll see a true up, for want of a better term, coming through in the fourth quarter, and then you'll see the continuation of those lower TCs/RCs also moving through into future sales. And then that's MATSA. Whereas Motheo of course, is effectively exposed to spot. We are starting to move some of the con on to term contracts. Really, there's a range of reasons for that to, if you like, de-risk the book to some extent. We want to have a balance. Those term contracts are being done closer to the current benchmarks, but we are still seeing some spot deals being done at fairly attractive rates, as you would see with other companies.
Paul Young: Yes, that's helpful. That's all I need. That's great. Yes. That helps.
Brendan Harris: Okay. Thanks, mate.
Paul Young: Thank you.
Operator: Thank you. Your next question comes from Ben Lyons from Jarden. Please go ahead. Ben, your line is now live. Thank you. There are no further questions at this time. I'll now hand back to Mr. Harris for closing remarks.
Brendan Harris: Look, thanks everyone for joining us. I know how busy you've been this morning. I've been watching the emails coming through and all the research. Appreciate reading that as well. Have a good day and we look forward to catching you for the fourth quarterly call. And for those going to Botswana, I hope you have a great trip. Thank you.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may now disconnect.